Operator: Good afternoon, ladies and gentlemen, and welcome to the Aurubis AG Conference Call on the occasion of the publication of the first quarter results. [Operator Instructions] Let me now turn the floor over to Elke Brinkmann.
Elke Brinkmann: Thank you and a warm welcome from me as well. I'm sitting here together with our CEO, Roland Harings; and our CFO, Rainer Verhoeven, who will present the Q1 figures and current developments at Aurubis in a moment. Before I hand over to Roland Harings, I could -- I would like to provide you already with a key combination for the Q&A session. [Operator Instructions] And with that, I hand over to Roland Harings.
Roland Harings: Thanks, Elke. Good morning, good afternoon, and welcome to our conference call for the first quarter. But please allow me before we start discussing just last quarter, I would like to take a moment to talk about the recent announcement regarding the change in the Executive Board. As you were informed, 3 of the 4 Executive Board members will leave Aurubis within this fiscal year. Inge Hofkens will stay. My term will end with this fiscal year. This is what has been agreed finally between the Supervisory Board and the Executive Board. It comes without saying every CEO has the overall responsibility and consequently also for all what happens in the company. I stand up for this. My colleagues, Heiko Arnold, my colleague, Heiko Arnold, will leave on February 29. So this month, and Rainer sitting next to me Verhoeven will leave on June 30 this calendar year. As anyone who knows us can tell, we are taking this step as an Executive Board with a heavy heart. We've achieved a great deal in recent years. Most notably, we have put the company in a strategic position that allows us to successfully combine long-term growth, attractive profitability and sustainable management. Aurubis has a very strong executive management team more than 30 people top class and it is very well placed to take advantage of the opportunities markets offer. This is something we and our employees can be proud of. On a personal note, in the coming months, it is to guide the company through this transition phase with a steady hand, pursuing our business ambitions for current fiscal year, still will be part of it. This includes continuing to realize the strategy that enjoys the full support of the Supervisory Board. Rest assured that I will continue to fulfill my responsibilities as CEO with determination and perseverance right up to the last minute. We ask for your understanding that we will not be commenting any further on this topic during this call as we're going to focus on the results of the first quarter. Let's have now a closer look on the past quarter. With overall stable market conditions and good operative performance, we generated a solid operating EBT of EUR 111 million. Higher treatment and refining charges significantly increased Aurubis copper premium -- sorry, I'm just here -- we will -- sorry, I'm just missing here one slide. It was just to turn it around. Sorry, for that. And continued high demand for wire rod had a positive impact on the results compared to the first quarter of the previous year. Our metal results decreased at declining metal prices, especially for nickel, palladium and copper and sulfuric revenues were markedly lower resulting from reduced sales prices. Group costs were at the previous year's level with significantly lower energy costs, but increased legal and consulting costs due to the criminal activities directed against Aurubis and launching costs for the strategic projects currently in implementation, which had an opposite effect. Operating ROCE taking EBIT of the past 4 quarters into account decreased to 9.7% from 16.3% in Q1 of the previous year. In particular, the negative fourth quarter of the previous fiscal year caused by the financial impact of the criminal activities directed against Aurubis and the ongoing investment activity reduced the return on capital employed. So all in all, and based on this solid first quarter result, we are confirming our forecast range for the current fiscal year at EUR 380 million to EUR 480 million operating EBT. An overview of our results in Q1. Revenues decreased mainly due to lower metal prices compared to Q1 of the previous year and significantly lower sales [indiscernible]. Gross profit was above the previous year's level, led by the earning drivers already mentioned. EBITDA decreased by 7% due to higher personnel expenses as well as additional costs for consulting fees due to the criminal activities and ramp-up costs for the strategic projects. Compared to the previous year, our financial interest result was stable to several different factors. There was a positive development of the subsidiary, Schwermetall and higher interest received from customers due to outstanding receivables, on the one hand, while Aurubis had to pay more in interest payments on the other. ROCE, taking into account the operating EBIT of the last 4 quarters, decreased only from 16.3% to 9.7% due to the negative fourth quarter of the fiscal year '22, '23. This, as I said already, is due to the financial impact of the criminal activities directed against Aurubis. Let's have a look at some of the market developments. The copper and metal prices in general showed volatile development during the reporting period. The new copper price [indiscernible] from Reuters anticipate as copper in calendar year '24 at 8,740 respectively, USD 9,300 per tonne in '25, indicating positive upward momentum. Let's have further look at the different markets. Aurubis saw a good supply situation in quantity and quality of concentrates with increased TC/RCs during the reporting period. This in comparison to the last -- to the previous year. The current market developments show a reduced availability from the mining side and has an impact with lower TC/RCs on the spot market. There are some production problems. And as probably most of you have noted, there are some serious issues with the copper mine in Panama and some logistical issues and strikes. However, Aurubis primary sites are well supplied with materials based on its long-term contracts, hence, as you know, we are barely active on the spot market. So these low spot TC/RCs don't have an impact on Aurubis. A new reference for TC/RCs has been concluded in the industry at USD 80 per tonne and $0.08 per pound. With our long-term sourcing strategy. We remain positive about the good earnings contribution from TC/RC for CSP segment in the calendar year '24 as well. Just to underpin Aurubis supply situation with concentrates is covered well into Q3 of the fiscal year so its long-term supply strategy remains intact. Looking at the recycling market. Over the course of fiscal year '23, '24, we have seen sufficient availability of scrap material on the global sourcing market with good RCs during the reporting period. CRU estimates an average RC of EUR 343 per tonne over the reporting period for copper scrap, number two, without logistics. This compares to EUR 337 per tonne in the prior year. RCs for complex recycling material were below prior year, but were compensated by higher throughput. Looking forward, our production sites are already supplied with material wealth into the third quarter of fiscal year '23, '24. Talking now about sulfuric acid. The sulfuric acid market stabilized during Q1 of the current fiscal year, but pricing remains under the level of the previous high level of last year. Demand from the European chemical and fertilizer industries is slowly progressing to normal levels. The return of some fertilizer manufacturers in the North American region has supported demand in the Mediterranean markets. Price level remained at good levels for Aurubis. Given the current market situation, we expect a slightly lower earnings contribution from asset sales in this current fiscal year compared to the last fiscal year. ACP, the Aurubis copper premium for calendar year '23 was set at USD 228 per tonne. This ACP is unchanged for the calendar year '24 so it stays at USD 228 per tonne as we announced to inform our customer end of last year. Coming finally here to the U.S. dollar, Aurubis, as you well know, has a long position of approximately USD 600 million in this fiscal year. Within the scope of our hedging strategy, we have 87% hedged at 1.103 for this fiscal year and around 23% at a rate of 1.095 for the next fiscal year. With this, I would like to hand over to Rainer.
Rainer Verhoeven: Thanks, Roland. Good afternoon to everybody from my side who is listening in, in today's conference call. As mentioned earlier, the Executive Board will undergo a substantial change over the next month. This means for me that I will be leaving the company on June 30, 2024. The staggered departure is what we agreed upon with the Supervisory Board. After an eventful 6.5 years, I will be leaving a company which is in a very strong position. Aurubis has developed significantly over the past years, and we have managed to create the financial basis for the long-term growth agenda we have embarked on. With EUR 1.7 billion strategic invest under implementation and the rollout of a completely new IT landscape, we are currently in front of the go live of our S/4HANA system, which will happen in 2 weeks from now. It will be a tough year for the leadership of our company to manage this change in parallel. However, I and we are very and fully convinced that we will manage through these public waters as we have done in the past years. Rest assured that I will fully or fulfill my role as CFO of Aurubis with the same dedication and commitment as in the past years  until the end of June this year. Now let's have a look at the earnings of Q1. The write-down of income components continues to show a balanced situation and the balanced business model. Compared to Q1 of last year, the gross margin decreased slightly mainly due to the subdued metal result. The metal result was impacted in particular by lower metal prices in the reporting period, metals like nickel, palladium and copper were the main drivers of this decrease. The metal result remains [indiscernible] the significant income component for the group. As previously described by Roland in the market section, Aurubis continued to benefit from good TC/RCs for concentrates and RCs for recycling materials in general, above prior year levels. Last not least, the earnings pillars of premiums and products positively impacted by the increased ACP. Remember, we had Q1 last year, $123. We have this year $228 and the high demand for wire rod at higher surcharges. Looking at the overall group cost, the total cost of the group are at the same level as in Q1 of the prior year. Energy cost had decreased significantly, especially for electricity but also for natural gas. This was counteracted by an increase in personnel costs and other operating expenses. In addition to higher wage agreements, personnel costs also increased, in particular, due to additional personnel for our growth projects. Operating expenses rose significantly year-over-year, mainly driven by additional expenses for legal advice as well as consultancy fees caused by the criminal activities directed against Aurubis. Compared to the previous year, the group energy costs reduced significantly due to lower market prices, continued good hedging transactions and our active energy management. Overall, energy costs in Q1 decreased by 36% year-on-year to EUR 46 million, with both electricity and natural gas showing significant cost reductions on a group level. Natural gas prices, in particular in Germany and Europe were significantly below prior year levels due to a better supply situation with high storage levels of the reservoirs in Europe and mild winter conditions. Electricity pricing was equally down due to mild winter conditions but also due to the lower industrial activities pretty much all over Europe. Bear in mind that the indirect CO2 compensation is an annual one-off payment that was received during Q1. So as in the last year as well, resulting in a lower net energy cost position for this quarter, especially. For the whole fiscal year, we still anticipate energy costs to be in the range of EUR 250 million. Looking forward, we will continue to work on the further electrification of our production processes and invest into the decarbonization of our production. Secure energy supplies at reasonable prices remain a very relevant topic for Aurubis in general. Aurubis key performance indicators continue to show a very solid and robust picture. In comparison to the previous year, the equity ratio has increased once again to almost 59%. Debt coverage ratio of Aurubis has increased to 0.2% due to the strategic investments in our green and brownfield expansions. Our financial position is stable with the debt coverage at almost 0. The net cash flow in the first quarter of '23, '24 came in at EUR 202 million. This is related to the built up of net working capital initiated to prepare for the big maintenance shutdown in our Hamburg plant in May this year as well as a reduction in accounts payable. The increase in capital expenditures result mainly from the investment in our recycling plant in enrichment in the U.S. but also for all the other strategic projects that we are currently under implementation. Let's have a look at the segments. Let me briefly highlight some financials and production figures from the multimetal recycling segment. All in all, the throughput volumes of the smelter side were in line with the previous year's first quarter, while [indiscernible] production was slightly below prior year figures still due to the ongoing refurbishment of the tankhouse refurbishment in Lunen, which will be finished in June this year. The refining charges for recycling input were at stable levels, while the metal gains decreased in line with lower metal prices. Although the segment still benefits from solid metal gains, the operating EBT at EUR 29 million is well below the previous year's level. The operating ROCE was 13.5% compared to 18.3% in previous year, which was impacted by a better earnings situation. Additionally, capital employed increased due to the high investment in growth, especially in our U.S. plant. In the Custom Smelting and Products segment, the operating EBT came in at EUR 107 million, almost exactly on previous year's level. The segment benefited significantly from the high revenues from the TC/RCs for concentrate compared to the level of Q1 '22, '23, with increased throughput, the significant drive in the Aurubis copper premium and from increased wire rod sales with higher product surcharges. In addition, considerably reduced energy costs contributed to the reduction in the segment costs. On the opposite side, the segment was burdened by a much lower metal result, in particular, due to low metal prices for palladium, copper and nickel as mentioned earlier and significantly lower earnings from sulfuric acids caused by lower market prices always compared to the last first quarter -- the first quarter of last year. The return on capital employed came in at 11.5% significantly below the previous year figure, which was 18.9%. Please bear in mind that the ROCE calculation is based on the rolling EBIT of the last 4 quarters and thus includes the very negative Q4 of last year, which was impacted by the write-off in connection with the theft and fraud cases. Let's move on to the outlook of the market for the remainder of the fiscal year. The concentrate market remains on a growth track from both supply and demand side. Recent events though in Panama production cuts and spikes on the mining side, has put massive pressure on the TC/RC terms on the global spot markets. With our long-term sourcing strategy, however, we remain well supplied and are not very active on the spot markets, Roland mentioned it earlier as well. We still anticipate that we will benefit from reasonably good terms for the current fiscal year for the processing of concentrates. Aurubis is already supplied well into Q3 for the fiscal year '23, '24 with concentrates at good terms. The recycling market in particularly -- in particular for copper scrap #2 remain short-term oriented markets driven by collection rates, industrial activities and metal prices. In the short term, we expect a reduced supply of recycling materials due to the economic slowdown and the currently still lower copper price. The availability of complex recycling materials like [indiscernible] materials, PCBs, residues, slacks and Ashes is generally more stable from the supply side. However, due to the economic slowdown, we do see an effect on certain markets and input materials. Our production plants are supplied with recycling materials well into Q3 '23, '24 and our strong market position reduces supply risks. Looking to the sulfuric acid, both CRU and ICIS expects the continued trend of price levels we have seen in recent months for sulfuric acid. Reduced energy prices in Europe have stabilized demand from the fertilizer and chemical industries. All in all, we foresee a reduction in sulfuric acid revenues year-over-year as last year, we had higher prices altogether. The ACP for the calendar year '24 has been set at $228 compared to last year, it's, let's say, the same levels. Coming to other product business, we foresee a continued very strong demand trend for wire rod, even above the previous year levels, while expectations for the shapes and flat rolled products remained much lower or are subdued, which they were in the last year as well. Based on our latest assumptions for the earnings drivers and cost components, Aurubis continues to expect an operating EBT of EUR 380 million and EUR 480 million and an operating ROCE between 10% and 14%. For the multi-metal recycling segment, we expect an operating EBT between EUR 60 million and EUR 120 million and an operating ROCE between 5% and 9%. The anticipated ROCE is due in large part to the growth investments in the U.S. For the Custom Smelting and Products segment, we expect an operating between EUR 410 million and EUR 470 million and an operating ROCE between 19% and 23%. Taking into consideration the latest market development as well as the continuously lower metal prices, we expect the operating EBT to come in a bit lower than midrange of our guidance. With that, I would like to hand back to Roland.
Roland Harings: Thank you, Rainer. With the outlook from this year's financial guidance, let's have a look at the financial outlook of Aurubis. Like I mentioned in my initial statement at the beginning of this call, the change in the executive management team doesn't change the strategic outlook of Aurubis. This remains intact and unchanged. The numbers from our financial guidance are also not new to you. Nevertheless, I want to review the highlights. We currently have EUR 1.7 billion for strategic CapEx approved. From these investments, we will have a positive EBITDA contribution in the next 3 to 5 years, which will ramp up to EUR 260 million annually of which Aurubis Richmond alone will contribute about EUR 170 million. However, here, the strategic agenda of our business doesn't stop here. And if you look at the next slide, this is now the updated view of the project pipeline across the different stage gauge in line with our governance that we shared with you in the Capital Market Day last June. You can see that we have made significant progress with the strategic agenda since our Capital Market Day. We have further progressed with newly approved projects like the PM, precious metal refinery, slack processing in Pirdop, the Anode furnace 2.0 here in Hamburg, but also other projects that have not yet reached the maturity level to be approved by the Executive and Supervisory Board have progressed well along the stage gate. Some of them have been already considered in our midterm planning for execution. Those strategically and economically attractive projects with good perspectives for passing the ultimate stage gate are reflected in the planning so that the fiscal and human resources required to implement them have been considered. It goes without saying that this does not presume the project approval yet. If the strict decision criteria are not met, regardless of whether it is the technical commercial or financial aspect, then projects will not be approved. So I can assure you, we continue to have a rich reservoir of opportunities for further growing our business. And we have the right mindset and tool set for turning them into projects that create value for our shareholders and all our stakeholders. Let's have a look now at the coming milestones of the project already in implementation. As of this calendar year 2024, the first strategic project in implementation will start to be commissioned and will gradually start up production. Once production is up and running, they will also start to contribute to the bottom line of the company as shown in our financial guidance. It is impressive to see the progress each site is making with the strategic projects. Let me just name those projects that will be implemented and commissioned in this calendar year. During the shutdown in Hamburg this year, we will implement both Industrial Heat Phase #2 and the conversion of the anode furnace, making it H2 hydrogen ready. Furthermore, the project Bleed treatment Olen Beerse, BOB in short and Advanced Sludge Processing, ASPA, for short, in Beerse, both projects that focus on further progressing of intermediates will start this year. The expansion of the PV park at the Aurubis Bulgaria side will also start this calendar year. And last but not least, Aurubis Richmond will start the commissioning in the second half of 2024 and will start to ramp up production. We will come with some new pictures in a minute. The remaining projects will be gradually commissioned over the '25, '26 calendar years, as shown here. Let's focus and continue with the progress made at Aurubis Richmond and have a look at the current status of the project. We have made significant progress and further significant milestones have been achieved. Going now to the pictures, you see already equipment and equipment in test operation, you see first material has delivered and was processed on site, just sampling and shredding and we have carried out also our first melt test in the smelter network. Hence, we celebrated topping out, which means the structure of the highest building was completed which means highest building for Phase I and Phase II are completed as we speak. The Aurubis team on site has grown significantly during the last couple of quarters, and we now have a team of 100 people on the ground. The senior management is fully staffed and our focus in 2024 is to fill the roles of the production team. Due to the current inflationary environment, we increased the investment volume as announced in December to EUR 740 million for the construction of this impressive site. Additional design and infrastructure requirements, adjustment for inflation and specifically for increased labor costs for erection and also increased complexity in the implementation required this CapEx expansion. Aurubis Richmond is really on a very strong path, and I really encourage you to invite you to see also a movie that we are going to show on our general assembly next week, which gives you some real good shots about the progress there. Finally, last but not least, we are in the preparation of this assembly, which, again, I would like to remind you will take place as a virtual Annual General Meeting on February 15, so 9 days from now. And Elke will share some more details later. Looking now at the slides, we are proposing on the General Assembly next week, a dividend of EUR 1.40 per share and we'll hope for your participation and support to go this way. Further details on this can be found on our website. With this, I would like to hand back to Elke, who will give you guidance for the next Q&A steps.
Elke Brinkmann: Thank you, Roland and Rainer. Let's take a quick look at this year's financial calendar. After the AGM on February 15, the next reporting date for the half year figures is May 8. And now we would like to thank you for your attention, and I ask the operator to take over for your questions.
Operator: [Operator Instructions] And the first question comes from Bastian Synagowitz, Deutsche Bank.
Bastian Synagowitz: Also upfront, I just want to say that I'm also very sorry that you will be leaving the company. I think you had a good management team there in principle and have been spraying a lot of good spirit on obviously, some of the initiatives you've been working on. But just over to my first question, which is on the primary business. I guess, seem to be accepting the $80 settlement at least as a reference, as you say. I just wanted to ask here on other terms for the volumes, which you have been looking in until the third quarter, are they fully locked in? Or could those still move around given that there hasn't been an actual benchmark? And then secondly, and related to that, should we expect the implied gross margin in the primary business to be down in the same quarter and then pretty much flat from there? That is my first question.
Roland Harings: Yes. Thanks, Bastian. So thanks for your kind words in the beginning. As I said, it's with a heavy heart. It's a great company, a great team, and we still -- because we continue, as Rainer and me, we will continue with full steam until we are going to leave our duties here. To your question, Bastian, we, as you know, our strategy is long-term contracts with our mining partners and we are barely active in the spot market. The benchmark is now accepted, 80 and 8 is the benchmark, which is, as you know, one element in our pricing formulas for the concentrate contracts. So it will be, let's say, applied for this calendar year. And our strategy is always to source the majority -- the vast majority of our demand concentrates with at least annual contracts and even more multiyear contracts. So therefore, we have very stable position and has again proven our strategy of sourcing for concentrates.
Bastian Synagowitz: Okay. Perfect. Then my next question is just on the secondary business. It seems like you've become a bit more cautious here at least. What are the dynamics -- are the current tensions around logistics also playing into this? Or is this something which is maybe more affecting the primary business? And also what is maybe the key driver, which has led you to narrow down the guidance towards the lower half of the range? Is it the scrap business? Or is it basically the uncertainty on the primary business?
Roland Harings: That's a comment to the secondary business. What we see is an overall reduced industrial activity in Europe. So some materials are not as available as we have seen this in the past, and there are some attractive materials, which we like to source. However, we have the benefit, as Aurubis, we explained this also in more detail that we can switch that we have the technology and the capabilities to process any kind of recycling materials. So we are taking other materials. So we can fill our plants. We can keep our plants running, but it's not the optimized portfolio that we would like to run to have the best, let's say, the best value-added going through the plant. So overall, it's more driven what we see by the secondary effect. The primary side is, as I mentioned before, is well supplied with concentrate of good quality, good mix and if we see some -- if we have some more cautionary remarks, it's about the secondary side and especially on the metal gains because attractive metals come typically with a very good, let's say, free metal portion. So that's why we have this kind of ranking in our portfolio.
Bastian Synagowitz: Okay. Great. Then my last question is on balance sheet. And here, I'm just wondering how much working capital we should be expecting you to build until the end of the next quarter where I suppose you probably have the peak in your working capital. I remember in the last call, you emphasized the significant working capital buildup. So maybe you can let us know how much that will be or where you basically expect your net debt to peak intra year before it's normalizing towards the year-end?
Rainer Verhoeven: Now if we look to the -- Bastian, if we look to the quarter end, we will see in March and in June levels of the net financial position in the vicinity of minus EUR 250 million. Within the quarter, we will be higher or more indebted, but that is within the quarter. So the figures that you will see will be coming in at minus EUR 250 million. And then towards the end of the year, that should gradually improve, but it will, of course, not go into the positive again due to the high investments that we are taking at the same time. We are -- I mean, we are talking about CapEx of EUR 900 million. But the mix you will see in March and June is something around EUR 250 million negative net financial position.
Operator: And the next question comes from Daniel Major, UBS.
Daniel Major: First one, you highlighted group costs being flat versus last year with the decline in energy, offset by legal and consulting. Can you quantify the run rate of costs you're incurring for those items? And would you expect those to persist through all of the current financial year or would they potentially tail off in the second half of the year as some of the kind of legal elements and investigative elements roll off?
Roland Harings: Yes, Dan, happy to share. So we have significant consultancy costs and lawyer costs in the period. And to give you some hard numbers in the first quarter of this fiscal year, we had around EUR 4 million extra fees for everything which is combined with the criminal activities and the investigations that were conducted. And we do expect for the next 2 for the current and the next quarter, another about EUR 12 million in total as cost. So summing up around EUR 16 million of a one time one-off legal fees or consultancy fees that we are going to have due to the criminal and the investigations.
Daniel Major: Okay. That's clear. And then the second question, I think you mentioned slightly in the last call, but maybe you could clarify what your exposure to Cobre Panama was -- is that now just being replaced by spot volumes? Or are you being able to recontract any of that on longer duration offtake agreements?
Roland Harings: Yes. Cobre Panama, it's absolutely a shocking and a sad story what happens in this country. It is excellent mine as being in force majeure and stock production. It's one of our suppliers where we have long-term contracts in place and as I stated in the last quarterly call, fortunately, we are very -- we have a very diversified supply chain. We have many alternatives, and we were able to compensate the lack of supply from Cobre Panama immediately. So no impact on our production. However, we hope and wish that this excellent mine is coming very soon back into operation not just for the mining operator, but also for entry because it's really a generator of wealth for Panama and it's -- as I said, it's just said what happens there. But for Aurubis impact is nil.
Daniel Major: So just to follow up on that impact, nil, I mean, you normally talk about a 90% contract, 10% spot sort of exposure. Is that split changed at all by no longer being able to source from Cobre Panama, is it not material?
Roland Harings: No, we have to see that within our existing longer-term contracts, any long-term contracts, we always have a certain flexibility in a range which we can say, either the mining company for whatever operational reasons or we for demand reasons. So it's not a hard fixed number per contract on an annual base. So therefore, we use this flexibility with an existing contract. And again, we have not taken any major steps. And I cannot tell you that we haven't bought anything on spot. There are also some opportunities there. But normally, our flexibility in the long-term contracts allows us to source our materials within those.
Daniel Major: That's very clear. And then just final one, if I could. Do you comment and you can see, I guess, in your production of shapes and products more skewed to the European construction and sort of consumer segment remaining weak. We've seen a little bit of restocking in parts of the steel sector. Are you seeing any kind of end of destocking, restocking activity or any green shoots on the demand side from more of the construction and manufacturing side as opposed to the wire rod demand?
Roland Harings: As Rainer pointed out, wire rod is very strong. We see a very healthy demand, increasing demand compared to last fiscal year. In this -- in the other product, shape and also FRP, the flat rolled products, I think we have seen now the lowest demand. There is a slight, but I'm very cautious here. There is a slight improvement of customer activities and a slight upward trend. But we do not expect that we are going back to levels, the very good levels that we have seen in the calendar year '21, '22 and then slightly in the beginning of '23. We have not planned for that and we don't see this kind of revival or recovery of the demand.
Operator: And the next question comes from Ioannis Masvoulas from Morgan Stanley.
Ioannis Masvoulas: Few questions from my side. First, again, looking at the EBT outlook and thinking more about the second fiscal quarter so we have benchmark TCs coming down. We have metal prices still subdued and scrap or seals are somewhat lower. Is it fair to assume that sequentially, operative EBT declines in fiscal Q2? Or are there any other drivers to mitigate it.
Rainer Verhoeven: No. I was trying to answer it maybe with, let's say, or separated in 2 phases. The one thing is we do have our standstill in Hamburg only from May and June. So the Q3 will be impacted by that tends to. Q2, I would say that we are not seeing a downward trend in our EBT . So will stay, let's say, positive year to say we will be generating our guidance, again, a bit lower than the middle of the EUR 380 million, EUR 480 million, that's for sure and always dependent also on the development of metal prices. As mentioned, the metal prices need to increase a bit for us to, let's say, have a bit more positive outlook. If the metal prices further go down in brackets, we do not believe that. Of course, we also have a downward risk still. But that is in principle turning the needle because on the product side, we are pretty clear. We have mentioned that to you. We know that we are selling quite substantial amount of wire rod at very good terms. On the TC/RC side, for concentrates, we are pretty much fine. We don't source in the spot market. On the recycling business, yes, there is a bit of a risk as explained by Roland, if we can't get the good material, we get other materials in. We don't have the free metal. That's not nice, but it will not, let's say, cost our life, yes. The sulfuric acid is what it is. We see ICIS slightly increasing trends there well below last year's prices, but okay. So therefore, we don't see a negative trend for Q2.
Ioannis Masvoulas: Very clear. And second question, going back to the discussion on the concentrates. You mentioned a very limited exposure to the spot market, but for that limited exposure, you have should we be looking at the spot terms we're seeing in Asia to get a sense on what terms you could there? Or are you actually getting still material premium to the $20, $25, $30 we're seeing in that region?
Roland Harings: No, just to repeat what I said before. The spot market terms that we see today in Asia have no -- I underline no impact on our TC/RC performance. We are not active, and we are not buying at these terms. Full stop.
Ioannis Masvoulas: And maybe if I can change that question a bit. Would you be looking to potentially run your smelters or slightly lower utilization rates? Or do you think you can run them at full capacity with material at benchmark or terms.
Roland Harings: Ioannis, better I have to repeat again, we have good supply in good quality and good terms, let's say, as we have mentioned, we have long-term annual or multiyear contracts, which are based on the benchmark, we are not active in spot market. So it would be unrational, it would make no sense to -- with these good conditions and materials. Why should we slow down our smelter. The opposite, we run full steam, maximum production. The demand is there. We see a good demand for our copper materials for our products, for our high-quality cathodes. The opposite is the case. We produce as much as we can.
Rainer Verhoeven: Just maybe if I may add here, the utilization, the plant utilization rate of our 4 rod plants in Europe for the current fiscal year is above 96%. We have to produce full source in order to provide the copper units that we need for the copper wire rod.
Ioannis Masvoulas: Another one for me, if I may. On the criminal activities, what's the latest there because I believe there was another arrest sometime last month. So is there more that needs to be done on that front? And then related to that, at the full year results, you highlighted an additional precious metals shortfall. And at that time the investigation was ongoing. Is there any update on that one, too?
Roland Harings: I understood the first case. So I think what we reported also which was picked up by the media, shows that our measures, our system really works. So we were on the case, I cannot disclose all the details, obviously, but we were on the case, and we catched the criminals with police and people involved have left the company, and there will be now prosecution, the prosecutor is going after them. So it shows we are now much better set up and all the measures we have discussed are showing their efficiency and how effective they are. And regarding the financial impact. In the last fiscal year, we have included all the differences that we saw in our metal balance into the annual result of EUR 349 million, and this included the EUR 130 million -- EUR 169 million minus EUR 30 million that we have deducted for insurance, expected insurance payment. So this is everything included, and we have nothing in the first quarter, and we are not expecting -- no, we will not have anything on missing materials in the current fiscal year. Everything from the criminal activities has been booked and shown in the last fiscal year.
Operator: At the moment, there are no other questions in the queue. [Operator Instructions] And I guess I hand back over to Ioannis for your follow-up questions.
Ioannis Masvoulas: Yes. The couple more left from my side. One of the dividend. There was a dividend from a [indiscernible] of EUR 19 million. Where is that coming from? And is that going to be more of a recurring in nature? Or is it a one-off?
Roland Harings: No. Ioannis, this is the result of our joint venture Schwermetall, which is reported at equity. We own a 50% share of this company. And that was the payout of the dividend of the result of their last fiscal year and this was booked in the last quarter and a cash flow of EUR 19 million or EUR 20 million -- EUR 19 million, yes. We had an excellent year, and that was then paid out in our Q1.
Ioannis Masvoulas: Okay. Great. Great. And a very last one for me. Just going back to Richmond. Can you remind us the ramp-up cost that you are baking in for the current fiscal year and also any working capital effects that we should be expecting?
Roland Harings: Ramp-up costs for this fiscal year with the team in place and a ramp-up of production team and training is about EUR 30 million, which we estimate. And regarding working capital, in this fiscal year, there will be no working capital impact as we are starting to source material for the up commissioning and ramp-up phase, which is going to start towards the end of this fiscal year. So we'll not have any impact for this fiscal year.
Operator: At the moment, there are no further questions. [Operator Instructions] As there are no further questions from the audience, I hand back to Elke Brinkmann for closing remarks.
Elke Brinkmann: Thank you. Let me close this analyst call, and thank you again for your attention. Have a nice afternoon and goodbye.